Operator: Ladies and gentlemen, thank you for standing by and welcome to the BlueLinx Third Quarter 2019 Investor Relations Call. At this time, all participants’ line are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Mary Moll, Director, Investor Relations. Thank you. Please go ahead ma'am.
Mary Moll: Thank you, May, and good morning, everyone. We appreciate you joining us for the BlueLinx 2019 third quarter earnings conference call. The earnings release is posted in the Investors section of our website at www.bluelinxco.com. We will also be referring to a supplementary presentation as we go through the call. The presentation is available on our website as well. Joining us on the call today are Mitch Lewis, Chief Executive Officer; and Susan O'Farrell, Chief Financial Officer. Before we get started, I'd like to remind you that this presentation includes forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from those reflected in the statements. Those risks and uncertainties are described in our earnings release and discussed in our filings with the SEC. Today's presentation also includes references to non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterpart in the presentation materials, the earnings release and in the Investors section of our website. With that, I'll turn the call over to Mitch.
Mitch Lewis: Thanks, Mary, and good morning. Thank you for joining our third quarter 2019 earnings call. I'd like to begin this morning with a brief overview of the quarter and then Susan will review our financial performance. I will then finish our remarks and we'll open up the line for questions. Today we are reporting increased adjusted EBITDA during the quarter compared to Q3 2018. This resulted primarily from an improvement in gross margin, which was our highest quarterly gross margin since the Cedar Creek acquisition 18 months ago. In the third quarter, we generated adjusted EBITDA of $19 million compared to $16.6 million in Q3 2018. Gross margin for the quarter was 13.8%, an improvement of 50 basis points from the second quarter and a 310 basis point improvement from Q3 2018 when we were negatively impacted by a rapid decline in commodity prices. Our margin improvement is not just a commodity story. Our gross margin for Specialty products hit 16.2% in the third quarter compared to 15.1% in Q3 of 2018. The gross margin improvement resulted in gross profit, increasing $2 million from Q3 2018, despite the headwinds we experienced on the top line. We also continued to make great progress in reducing bank debt, which declined by $92 million from the third quarter of 2018 and $127 million since Q2 2018, the quarter in which we acquired Cedar Creek. We remain committed to continuing to delever BlueLinx in the months ahead. Net sales of $679 million for the quarter was again significantly impacted by the deflationary environment of commodity prices, with a substantially lower price environment as compared to the third quarter of 2018. Composite lumber prices at the end of July were 31% lower than July 2018 and ended the quarter still 15% below September 2018 levels. Composite panel prices remained around 30% lower during the quarter compared to levels in the third quarter last year. We estimate that approximately $70 million of the year-over-year decrease in net sales was due to lower commodity lumber and panel prices. On a more positive note, single-family housing starts improved slightly about 1.7% higher than Q2 2019 and 3.7% higher than Q3 2018. The modest improvement in single-family housing starts was offset by the continued comparative impact we are seeing from our siding products. As we've discussed on prior calls, after challenging negotiations with the legacy Cedar Creek siding supplier, our program for this siding product was discontinued, which began flowing through to the top line in the first quarter of this year. The ramp-down of this product line is virtually complete at this point but it will continue to affect top line comparisons on a year-over-year basis for the next few quarters. For the third quarter, the year-over-year sales decline was approximately $52 million, which compares to a second quarter year-over-year impact of approximately $42 million. We expect the comparative year-over-year revenue decline from this move to be approximately $45 million in Q4 2019, $30 million in Q1 2020 and $15 million in Q2 2020 at which point the comparative impact will abate. This has had a significant impact on our revenue. And as I have described before, we've added or supplemented our siding portfolio with products from James Hardie and a number of other premium manufacturers such as Allura, MiraTEC, Ply Gem and Royal among others. While we're pleased with the progress we're making with these new and expanded premium products, the recovery of this revenue in siding will take time as there is a ramp-up period with any new major supplier relationship or expansion in geographic territory. We've talked previously about dissynergies that arose from the operational and customer service dynamics associated with overlapping markets following the Cedar Creek acquisition, which led to market share erosion in some markets. In response, our teams in these markets are working hard to improve operating performance, while providing the best-in-class customer service, BlueLinx is traditionally known for. And we have prudently invested in enhancing our customer service including adding operational leadership and expertise to support our regions and evaluating the efficiency and service level of our warehouses, fleet, production and logistics. And this emphasis on our customer service is clearly starting to make a difference. We are seeing that sales volume in overlapping markets is recovering at an increasing rate quarter-to-quarter. In fact, when you exclude the impact of the loss of the siding products I discussed previously, our volume decline in the overlap markets in September and October were only 3% from 2018 levels. We are clearly making progress. Our primary focus now is to profitably grow the business and our emphasis on cost savings associated with the acquisition may have come at the expense of our revenues. We have rededicated our organization to profitable sales growth through disciplined accountability and now have several areas we are attacking. First, our local teams are laser focused on tactics they established in the third quarter to drive sales revenue in their respective local markets. We are monitoring these initiatives and measuring performance on a local and aggregate basis to ensure execution. We also continue to develop our key supplier relationships with an emphasis to grow these partnerships. We've made good progress in extending certain marquee brands across geographic regions and we will continue to grow the business for these key suppliers to warrant continued expansion. In addition, the company has invested in national account leadership to help drive this important customer segment where we enjoy a competitive advantage against most of our competition. We've also recently streamlined our regional structure from seven to five regions. This change enables the organization to be more nimble and quickly drive strategic sales activities at the local level. Finally, we have elevated our head of sales analytics and pricing, who now reports directly to me. I am confident that her team will help us drive a more robust and consistent pricing and sales process throughout the organization. We have numerous initiatives to grow the company's revenue, but recapturing market share will take time. As I mentioned last quarter, we have challenged our sales team to hit a run rate of 10% market share growth in 2020 and it now appears that we're more likely to start approaching that level in the back half of 2020. Rest assured that we clearly understand the urgency of utilizing the competitive advantages we have in the market to grow the top-line of our business. And now, I'd like to turn it over to Susan who will provide details on our financial performance.
Susan O'Farrell: Thanks, Mitch, and good morning, everyone. I'll briefly review the financial results and our financial position. Starting with slide 6. Net sales were $679 million compared to $860 million in the third quarter of last year. As Mitch discussed net sales were impacted primarily by lower commodity prices year-over-year, the significant decline in siding product sales due to the loss of a key product brand and lingering transaction-related sales dis-synergies in overlap markets. While the difference in commodity price levels narrowed from the second quarter, overall prices were lower for the quarter with lumber prices roughly averaging 15% lower and panel prices averaging 30% lower than the third quarter of last year. Despite the lower levels of sales, we delivered higher gross profit on a year-over-year basis, generating $94 million versus $92 million, resulting in a gross margin of 13.8% versus 10.7%, an improvement of 310 basis points. For the third quarter, we had adjusted EBITDA of $19 million compared to $16.6 million last year, an increase of approximately 14.5%. Cash on hand and excess availability under the ABL, averaged $101 million during the third quarter, providing ample liquidity to meet our working capital and other cash needs. Debt under our term-loan and revolving credit facility was reduced by $92 million over the prior year period. Moving to slide 7. In the first nine months of 2019, net sales totaled $2 billion, compared to $2.2 billion generated in the first nine months of 2018. Despite lower sales, we delivered gross profit for the first nine months of $274 million, up $23 million or 9.2% over the prior year period. For the nine-month period, we had adjusted EBITDA of $61 million compared to $62 million in the prior year period. Turning to slides 8 and 9. This slide illustrates the strides we are making in gross margin improvements across the business for both Structural and Specialty categories. Those of you who are familiar with our business know that lumber and panels make up the majority of our Structural products category, which typically accounts for approximately one-third of our sale. While commodity prices were lower year-over-year for both lumber and panels as previously discussed, we were able to generate gross margin of 8.9% in this category compared to 4.8% one year ago. As we have said on the second quarter 2019 earnings call, our 2016 and 2017 Structural gross margin averages were between 8.8% and 9.2%, so third quarter commodity results are in line with historical averages. Specialty gross margin this quarter was 16.2% compared to 15.1% last year, increasing 110 basis points and reaching historical levels. We certainly believe there is room for additional margin expansion from pricing discipline and sales analytics. I'll now discuss SG&A expenses in more detail. This quarter we experienced SG&A cost of $80 million, which was substantially less than the $88 million in SG&A in third quarter of 2018 about $5.8 million higher than our SG&A costs from the previous quarter. Our primary focus at our distribution centers is providing excellent customer service and we allocated additional resources to meet these objectives, resulting in increased warehouse and third-party freight costs of approximately $2 million and $1 million, respectively. The increased warehouse costs were comprised of approximately $1 million in maintenance expenses and $1 million in incremental payroll and temporary labor at our distribution centers. The continuing impact of the industry-wide shortage of skilled drivers drove our third-party freight and delivery costs, which were approximately $1 million higher than the second quarter. Also contributing to the increase in SG&A cost for the quarter was approximately $1 million for incremental sales compensation, primarily associated with the sales growth investment Mitch described earlier. Derisking our future pension obligations has been and remains a long-term strategy for BlueLinx. In line with this objective, we incurred charges for our partial multi-employer pension plan withdrawal of approximately $1 million in the third quarter. Last quarter we indicated that we believed an additional $5 million to $8 million in operational cost savings could be achieved over the second half of 2019. Following a comprehensive analysis and with our current focus squarely on best-in-class customer service and growing our business, we are no longer expecting this incremental cost savings by end of the year. Rather we anticipate that our overall SG&A expenses as a percentage of sales in Q4 will be relatively close to the level we experienced during this quarter. Significant efficiency opportunities that remain include, a realignment of our facility routing, enhancing of our lean warehouse operations, and realizing cost savings from the technology and rolling stock investments that we had made in the last few months. Timing of these initiatives has not presently been defined as our current primary focus is growing our top line and increasing our market share. But once we begin to execute on them, the longer-term cost savings should follow. Moving to the balance sheet on slide 10. We continue to make progress on our debt reduction initiative which remains one of our top priorities. Our total borrowings on a year-over-year basis are $92 million lower than the end of the third quarter last year. We also continue to make progress with our real estate monetization activities and we completed the sale of an overlap property with gross proceeds of approximately $2 million during the quarter and recently sold a parcel of land for approximately $1.3 million. We have three remaining overlap facilities in the market for approximately $10 million. On October 24, we amended our term loan. Among other things the amendment permits the use of proceeds from future sale leaseback transactions to reduce our debt. BlueLinx currently owns 28 operational properties appraised at approximately $100 million which remain at 4 times the book value in the aggregate and continue to provide strength to our balance sheet. We continue to vigorously pursue our real estate monetization efforts. We are at various stages with potential buyers on a number of opportunities. And while we're not able to announce any other actions today we look forward to keeping you informed as we complete additional transactions. Finally, I'll conclude with a review of the cash uses for BlueLinx in Slide 11 which remains at approximately $70 million on an annual basis. The uses shown here include lease payments and interest expense, modest capital expenditures and amounts for state cash taxes and other items and exclude principal payments on the term loan and ABL. BlueLinx possesses approximately $68 million in federal NOLs, so we do not expect significant cash tax obligations at the federal level for some time. Considering the relatively low annual capital investment requirements at BlueLinx and the opportunities we have to reduce costs increase operational efficiency, regain market share and continue to enhance our gross margins, we remain confident that the BlueLinx business model provides a strong platform capable of generating cash over and beyond our annual uses. And with that, I'd like to turn the call back over to Mitch.
Mitch Lewis: Thanks, Susan. In closing, I think it's important to reiterate the optimism that we have for the future of BlueLinx and the tremendous opportunity that remains for the company in the months ahead as a clear leader in the wholesale distribution industry. The investment thesis for the acquisition of Cedar Creek has not changed. We have one of the largest product assortments and most comprehensive geographic footprint among our competitors. We still have significant upside in leveraging our operating position to effectively reduce our cost platform to provide an even more efficient solution for our customer and supplier partners. And we clearly remain well positioned to be the consolidation leader in a highly fragmented market. However first things first, to be clear our immediate focus is on regaining the market share we lost in connection with the acquisition while continuing to delever the company. The timing of the anticipated benefits of the Cedar Creek acquisition have been delayed, but the investment thesis and the business enhancement opportunities have not changed. While we certainly anticipated a quicker improvement than what we've seen our resolve and conviction remains steadfast. We will grow our market share and we will realize the benefits we have committed to. And now May we'd like to open it up for any questions we may have.
Operator: [Operator Instructions] Your first question is from the line of Alex Rygiel from FBR.
Alex Rygiel: Thank you. Good morning Mitch and Susan.
Mitch Lewis: Good morning.
Alex Rygiel: A couple of quick questions. If you could help us to think about revenue -- organic revenue over the next couple of quarters understanding that September and October you saw sort of 3% volume decline in overlapping markets. What do you think market growth was over that period of time? And where do you think market growth is going over the next 6 to 12 months? And how your internal actions can take advantage of that and start to regain market share?
Mitch Lewis: Well Alex as mentioned, we clearly believe and are seeing evidence of the fact that we've fixed the problems we had in the overlap markets and that we -- the market share loss we saw is as I mentioned abated. We're working hard to regain that market share and it's taking time. But again the last couple of months have -- are very optimistic evidence that we're making good progress. Obviously, October is just in. We haven't seen single-family housing starts. So how we measure our performance against how the overall market does is challenging. I can tell you, we have -- as I mentioned streamlined the organizational structure put in a significant methodology as far as processes as it relates to the sales force. I alluded to the fact that we have local market strategies and targets that we're having biweekly calls at the local level, monthly calls in a more senior level to drive activity. In addition, of course we're emphasizing areas where we do have competitive advantages like national accounts, multi-family opportunities, specific product categories. So we're making a lot of progress. What we can tell you is exactly what that will amount to. And we're not in a position unfortunately to do that at this time. As I mentioned on the call, we feel comfortable saying that this 10% market share growth that we're going to be getting that in the back half of the year. And I can tell you there are many opportunities that we're seeing that are starting to take hold that we think will bear fruit in 2020 and beyond.
Alex Rygiel: That's helpful. And Susan maybe coming back to SG&A a little bit, I appreciate the importance of customer service and agree with you on that front. Can you help us to think about that line item kind of going forward, beyond kind of the fourth quarter? Is this sort of a new kind of step back up? Or these expenses that -- are a little bit more sort of onetime in nature but will kind of continue for two quarters?
Susan O'Farrell: Sure. Well some of the costs were temporary labor which means we can readily take that out as we improve the operations. And so the first thing has to be just making sure, we deliver outstanding customer service. So we're able to take those costs out as we improve. So we're happy with that. I did call out a pension expense for a partial withdrawal from a multi-employer pension. To be clear, that's in essence an accounting calculation for the net present value of payments over the future cost of time. It's very small on a cash basis, but we don't expect that to continue. So that would be something that came up in the quarter that we wouldn't expect to see in future quarters. There's always actuarial life tables suggesting that we would not consider that to be continuing. So, we'll just continue to work on lean operations on the warehouses and take cost out as we can. And I think would then see us returning more historical levels which are a lower rate than we experienced this quarter.
Mitch Lewis: And Alex I would also say the bias of how we're running the business strategically as the top line right now. And an example would be where we've delayed an opportunity to lower SG&A cost would be in a route optimization where we may have deficient routes running between two facilities. Now, we started moving down that path to garner those costs. What happens is it's potentially disruptive to customers. They're getting it from a new truck driver for example. The phone call they may have made historically with the long-term relationship from a particular warehouse manager that person's changed now. What we've elected to do is not put the topline of the business at risk for the benefit of cost savings. Right now we want to make sure we square up our position in the marketplace and we garner back market share. So, that will impact some of the timing. And we certainly, as I mentioned, have a significant amount of confidence in our ability to continue to operate this business more efficiently. And we sure would expect certainly at the volume levels we have now not to have the SG&A levels. And we will take advantage of increased opportunities we have from an efficiency perspective.
Alex Rygiel: And lastly as it relates to real estate sales. You've got three properties in the market for $10 million. What do you anticipate the timeline of monetizing those will be? And then you've got another 28 properties remaining valued at $100 million. What do you think the time line for that opportunity could be? Obviously, it's greater I suspect.
Mitch Lewis: Well, we can't -- I mean I can tell you we're in active discussions and there's a lot of marketing going on as it relates to properties and the continued real estate monetization that we've talked about. Unfortunately, we're not in a position to elaborate on the timing. I mean I think before when we amended earlier in the year the term loan to enable us to do sale leasebacks, we obviously did that with a purpose in mind. We similarly have done that with this term loan. And so obviously as we talked about it is the intent to delever this company. And the real estate remains a tremendous asset for the company to enable us to do that.
Alex Rygiel: Perfect. Thank you very much.
Mitch Lewis: Okay. Thank you.
Operator: Your next question is from the line of Brett Hendrickson from Nokomis Capital. Your line is now open.
Brett Hendrickson: Hey guys. I think you just answered most of my questions. Susan I just want to confirm so the pension expense, the extra pension expense that's the same thing that we see in the press release from the multi-employer pension withdrawal of $954,000?
Susan O'Farrell: Yes, very same thing. So, while it shows as $1 million of expense, if you think about it, it's about $75,000 a year in cash. So, it's very de minimis.
Brett Hendrickson: And I guess just maybe you can further expound. So, I understand the need to not try and harvest synergies too fast and disrupt customers. SG&A was still SG&A from operations even when I kind of exclude some of these things you mentioned in the press release during this call. It was still higher than I thought. The route optimization is one thing. I guess were there other things that caused SG&A to be higher in the quarter and here what you guided to for Q4?
Mitch Lewis: Yes. So, Brett examples of what caused it to be higher. I mean as I'm sure you know and have heard in the industry drivers remain a challenge for us. So, for example, we spent more on third-party freight which is a function of not having the amount of drivers we needed. During the course of the quarter, we actually had two dedicated people to do nothing, but driver recruiting from a company standpoint. And so by the end of the quarter relative to the beginning of the quarter, we made really good progress on the drivers. But that's a cost that we did not want to disrupt the customer service aspects of the business so we paid incrementally more money to outsource something that we have historically done internally. That would be an example. From a sales standpoint, we put in place to help motivate and get the organization aligned around the movement towards focusing on the topline, a new incentive program that we just put in place in July of the year that incented team members for back half improvement over the first half. So there's some costs associated with that. I mentioned investments on the sales side as well related to where we feel like we have opportunities to drive performance in national accounts certain product categories that we brought in for example a Vice President of Structural Products where we've segregated now the Specialty and Structural Products where we feel like we have better emphasis and focus both with our suppliers and with the sales team on both of those product categories to help drive growth in both of the product categories. So, those will be examples of other places for example we had higher SG&A cost.
Brett Hendrickson: Okay, great. We'll follow-up more offline. Thanks Mitch.
Mitch Lewis: Okay, sure. Thank you.
Operator: Your next question is from the line of Peter Van Roden from Durant Partners. Your line is now open.
Peter Van Roden: Hi guys.
Mitch Lewis: Hey Peter.
Susan O'Farrell: Good morning.
Peter Van Roden: Just a quick question on the amendment and the land sales. So, in the last amendment, I think you put a cap on the amount of properties you can sell. And I was trying to get through that language and I didn't really understand it. So, if you could just help us there? That's my first question.
Mitch Lewis: Yes, on the amendment we just did, there's no cap on our real estate sales. So, we amended it so that we can do sale leasebacks or sell the property to pay down the bank debt.
Peter Van Roden: Okay. And my second question is it looks like you took your covenants up again. But there's a pretty material step-down between Q3 and Q4. I think covenants go from like 7.5 times to 6.5 or 6.25 times. How do we get there from here?
Mitch Lewis: Yes. So, we have a lot of confidence in our ability to reduce our bank debt, which is part of the strategy from a delevering standpoint. And we have a lot of confidence of our ability to enhance our EBITDA. And obviously those – that's the numerator and the denominator. And so when we put in place the new covenants, we intentionally put in place covenants that we thought would enable us to focus on running the business and deleveraging the company. And so we feel really good. We feel like we have a great partner on the term loan and HPS and they've worked with us very well. And so we wanted to put in place something so we ultimately do not want to have to talk about. Covenants we're worried about covenants as we operate our business day-to-day. The final thing, I would say is, we didn't talk about it. But from a working capital perspective, we feel like we still have opportunities to become more efficient. As it relates to that, obviously there's variability in that and seasonality in that. But one of the value propositions of bringing the companies together and the scale that we have is to be very efficient as it relates to that. Again, we're just being very careful and thoughtful about even inventory reductions that may negatively impact a perception from a customer as the emphasis of the company is on the top line of the business.
Peter Van Roden: Got it. Okay. Thank you.
Mitch Lewis: Okay. Thank you very much.
Operator: [Operator Instructions] Next is from the line of Kevin Leary from Hallador. Your line is now open.
Kevin Leary: Good morning, guys. Thanks for taking the question. I wanted to ask about gross margins. So, it was good to see the continued step-up in Structural. But from a high level can you give us some color about how much of the gross margin improvement in the third quarter of this year was due to commodity deflation?
Susan O'Farrell: So, as we think about gross margin on the Structural side the way that usually flows is really the moving – the weighted moving average of inventory cost. So it's really about the recency versus the year-over-year change. So when we talk about the top line the year-over-year change is really important to track and that's why we called it out to you so you could follow that. But as it relates to the gross margin, it's more of the recent costs of the products that we're buying in that drive the realizations of those gross margins. And so you can see the numbers tracking. It's been a relatively flat slightly undulating over the second quarter to third quarter. So it's relatively flat and that's gotten us back to those historical levels closer to that 9%.
Mitch Lewis: And Kevin when you see – to Susan's point when you see a rapid escalation or a decline in commodity prices last year is a great example, right? At the – kind of in the July time frame of Q3 and through Q4 that's when the pricing drops so quickly, it's hard to capture that in the marketplace. Similarly, if you have just an incredible run-up, there tends to be some short-term benefit. When there's general stability in the market, we generally see kind of what we've seen from a structural standpoint. And Susan has talked to the point that, if you look at 2016 to 2017 it tends to be in the 8.8% to 9.2% range, which is kind of how we think about it more in a normalized market. But as we look at the third quarter in particular, shouldn't say there was a particular significant benefit or hurt – or anything that hurt us from rapid changes, one way or other in the commodity markets.
Kevin Leary: Okay. I mean, it's a little surprising just given the level or the magnitude of volatility in commodities. We track a number of distributors. And as you say, it's hard to catch-up on the way up. But there's naturally some kind of benefit on the way down.
Mitch Lewis: Yeah. Actually for us it's not the case. So, if you think about – if you think about pick your number, if you had 30 days of inventory and you have a rapid decline we're in a situation where we have higher cost inventory. But because it's a commodity a lot of times you have smaller purchasers, including our customers that can find another route maybe to bring in the product. And they'll take more volume than they otherwise would at a lower cost. So, when you are sitting in a rapid decline situation, we're sitting on a higher cost inventory than we purchased prior. And then our customers have options, so we have to match that in the marketplace. So we're moving higher cost inventory at lower market costs. It maybe for distributors and there certainly are some that have for example 30-day averages on the price side with their customers and that would be like a one-step distributor as an example or pro dealer, they may have them benefits when the price is going down, because they have a fixed sell price. We don't – we have very little fixed sale prices. It's pretty much kind of every day on the commodities. So we don't get a benefit of an actual fixed sale price in that situation.
Kevin Leary: Got it. Thanks.
Operator: [Operator Instructions] There are no questions at this time. Presenters please continue.
Mitch Lewis: Okay. Thanks, May. Thank you for joining us. We certainly appreciate your continued interest and support of BlueLinx. We look forward to speaking with you in the future to discuss our fourth quarter and year-end results. Have a great day.
Operator: Thank you, presenters. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.